Operator: Greetings. And welcome to the BioAtla First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I’ll now turn the conference over to your host, Bruce Mackle from LifeSci Advisors. Thank you, Bruce. You may begin.
Bruce Mackle: Thank you, operator, and good afternoon, everyone. With me today on the phone from BioAtla are Dr. Jay Short, Chairman, CEO, and Co-Founder; and Richard Waldron, Chief Financial Officer. Following today's call, Philippe Martin, Chief of Clinical Development and Operations; Dr. Eric Sievers, Chief Medical Officer; and Sheri Lydick, Senior Vice President, Commercial Strategy, will join Jay and Rick for a short Q&A. Earlier this afternoon, BioAtla released financial results and a business update for the first quarter ended March 31st, 2023. A copy of the press release is available on the company's website. Before we begin, I'd like to remind everyone that statements made during this conference call will include forward-looking statements, including but not limited to statements regarding BioAtla's business plans and prospects, potential selective licensing, collaborations, and other strategic partnerships, whether our clinical trials will be potentially registrational, results, conduct, progress and timing of our research and development programs, and clinical trials, expectations with respect to enrollment and dosing in our clinical trials, plans regarding future data updates, clinical trials, regulatory meetings, and regulatory submissions, the potential regulatory approval path for our product candidates; expectations about the sufficiency of our cash and cash equivalents and expected R&D and G&A expenses. These statements are subject to various risks, assumptions and uncertainties that can cause actual results to differ materially and are described in the filings made with the SEC, including the most recent quarterly report on Form 10-Q. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today, May 11th, 2023, and BioAtla disclaims any obligation to update such statements to reflect future information, events or circumstances, except as required by law. With that, I'd like to turn the call over to Jay Short. Jay?
Jay Short: Thank you, Bruce and thanks to everyone for joining us for our first quarter 2023 BioAtla's earnings call. Before I provide an update on our first quarter progress, I would like to reiterate a few key points made on our last quarter call in March. As a reminder, BioAtla is the inventor and leader in the development of novel therapies using a proprietary conditionally active biologics, CAB, platform with improved selectivity for attacking tumor cells, while avoiding healthy cells to address urgent unmet needs in oncology in order to improve patients' lives. We made significant progress last year across our multiple ongoing Phase 2 trials for our two latest-stage first-in-class CAB-ADC product candidates, BA3011and BA3021, targeting solid tumor types with high unmet medical needs. As we are now a little over one full quarter into 2023, we continue our positive trajectory and are on track to achieve our recently guided milestones. We remain focused on further advancing the development of our innovative clinical programs, leveraging the broad applicability of our CAB technology across several clinical stage antibody types, including CAB, AXL and CAB-ROR2-ADCs, targeted CAB-CTLA-4, and immuno-oncology naked antibody and our first dual CAB bispecific EpCAM CD3 T cell engager. Additional details related to what I'm going to provide are available on our website as part of our updated company presentation that may be helpful to you. We have shared promising clinical responses to date that are so far meeting and in several cases, exceeding our interim study targeted responses. Last quarter, I shared our strategic shift from providing incremental data updates on small sample sizes to releasing more mature data sets across our programs. As a reminder, our goal is to provide sufficient data to allow us to set study parameters that maximize the company's likelihood of successful for our Phase 2, potentially registrational studies. Additionally, last quarter, I discussed the rationale for including the more frequent dose-intensive regimens. A summary of these current dose regimens can be found in our updated corporate presentation on our website. Based on our exposure response analysis as well as our UPS-related FDA interactions, we aim to maximize the differentiated benefit risk profile of our CAB-ADCs in our Phase 2 part 1 trials for potential further improvement in antitumor activity while having similar or even improved safety profile. We continue to be excited about our lead asset, BA301, for multiple indications. Previously, we shared the encouraging partial interim data on our BA3011 Phase 2 part 1 sarcoma study and our BA3011 Phase 2 part 1 non-small cell lung cancer study. Let's now move to our clinical operational and financial updates for the first quarter 2023. First, I will reiterate our BA3011 Phase 2 sarcoma study and our overall sarcoma strategy. We are advancing BA3011 in ongoing sarcoma Phase 2 studies, including a potentially registrational study in UPS. As a recap of the unmet need in UPS, it is one of the largest and most aggressive sarcoma subtypes with high recurrence rates, representing nearly 15% of all soft tissue sarcomas. Without specific treatments approved for UPS, there is a significant commercial opportunity as a standalone indication. We have shown strong execution and promising results with continued antitumor activity, lack of disease progression and a differentiated safety profile of BA3011 in UPS to-date. Additionally, we have observed an overall objective response rate or ORR of 50%; median progression free survival or PFS of over 11 months and a duration of response exceeding eight months. Based on these results, together with the continued differentiated safety profile and encouraging feedback from the FDA around the study design, last year we initiated part 2 of the potentially registrational portion of the trial. The first 40 patients with the TmPS greater than or equal to 50% are being randomized 1:1 between the 3Q4W or 2Q3W dosing regimens. Following this, we plan to enroll an additional 40 patients at the selected dose to complete the study. Overall, the primary efficacy endpoint ORR will be based on approximately 60 patients treated at the selected dosing regimen. UPS represents a solid early indication with BioAtla, as we plan for the transition into a commercial stage company. In addition to UPS, we continue to enroll in the leiomyosarcoma cohort using the 3Q4W dosing regimen and are on track with anticipated data readout in the second half of this year. With regards to the safety profile across sarcoma subtypes, BA3011 continues to be generally well tolerated with the Phase 2 safety profile across all doses, consistent with the profile we observed in Phase 1. We also see real value in potentially expanding our sarcoma footprint over time to include other sarcoma subtypes. Ultimately, we believe BA3011 has the potential to treat over 25,000 sarcoma patients per year and generate up to $2 billion in revenue worldwide in this area of high unmet need. Regarding our BA3011 Phase 2 study in AXL-positive multi-refractory non-small cell lung cancer, we continue to be enthusiastic about the data we presented earlier this year with the Q2W dosing regimen. Currently, the competitive landscape is scanned for treatment options in patients who progress on immune checkpoint inhibitors, particularly in the second line and beyond setting. These patients have suboptimal overall ORRs of approximately 10% to 20% and PFS rates of four months. As a reminder, part 1 of a Phase 2 study in non-small cell lung cancer is ongoing in AXL-positive patients who have previously experienced failure of either PD-1, PD-L1, EGFR, or ALK inhibitors. So far in the study, we have reported preliminary efficacy with an ORR of 44% as monotherapy and a PD-1 failure population that have seen, on average, three prior lines of therapy. This response rate is highly competitive and exceeded our targeted response for moving forward to the Phase 2 potentially registrational part of the study. We continue to believe BA3011 will be highly commercially relevant with a response well above those observed in a multi-refractory patient population, particularly a view of treating patients in earlier lines in Phase 2 part 2. In addition, part 1 of the Phase 2 study continues to enroll using the more frequent dose-intensive regimen with anticipated data readout for all dosing regimens on track for the second half of this year. We remain on track to submit a meeting request to the FDA for the potentially registrational BA3011 Phase 2 part 2 non-small cell lung cancer study design in the first half of this year with feedback anticipated in the second half of this year, allowing us to initiate the Phase 2 part 2 study in non-small cell lung cancer in the second half of this year, maintaining our overall timeline for development of the non-small cell lung cancer education. As we have previously mentioned, approximately 35% of patients in the second line plus indication of non-small cell lung cancer express AXL. We estimate annually that there are over 100,000 AXL positive addressable patients worldwide with the potential to add approximately $2.5 billion to $3 billion in worldwide revenue at peak. Considering only the sarcoma non-small cell lung cancer indications, we continue to believe that BA3011 has the potential to become a significant commercial asset for BioAtla. Of even greater importance is that BA3011 has the potential to be the best-in-class treatment for a significant number of patients who fail multiple lines of therapy, thus filling a significant unmet medical need. To round out our CAB-ADC BA3011 program, we are supporting an ongoing multicenter investigator-initiated or IIT Phase 2 clinical trial in patients with platinum-resistant ovarian cancer. The trial is on track, and we anticipate interim data consisting of 10 patients in the second half of this year. Now, turning to our second lead CAB-ADC product candidate, BA3021, a CAB-ROR2 ADC. Currently, BA3021 is the subject of Phase 2 trials in the treatment of four indications. As a reminder, no other company has a therapy in the clinic targeting ROR2. So,, we have the potential to have a first-in-class treatment for solid tumors. We conducted a similar exposure response analysis of ROR2-positive tumors to form the more frequent dose-intensity regimen in our Phase 2 ROR2-positive non-small cell lung cancer study. Based on this analysis, which utilizes a similar strategy to our UPS Phase 2 part 2 BA3011 study I mentioned earlier. We are continuing to enroll patients in the more frequent dose intensity regimen of 3Q4W as planned with interim data readout on track for the second half of this year. Regarding the melanoma Phase 2 trial in patients who have previously experienced failure of PD-1 therapy following an additional complete response in an evaluable patient identified using our IHC assay, we are screening patients with the validated liquid biopsy. Although we haven't enrolled additional patients to date, we have successfully identified ROR2-positve tumors using the liquid biopsy assay, which is now allowing us to enroll ROR2-positve patients. We anticipate an increased enrollment in the second half of this year. In addition, our Phase 2 head and neck study is ongoing in patients who have previously experienced failure of PD-1 therapy alone or in combination with platinum therapy. Last quarter, we announced achievement of first patient in for the study. Since last quarter, we continued to enroll patients and the observed ROR2 positivity rate is high, over 50% and in line with our expectations. To round out our CAB-ADC BA3021 program, we are also supporting the Phase 2 IIT study with BA3021 in patients with platinum-resistant ovarian cancer. The trial is on track and we anticipate interim data consisting of 10 patients in the second half of this year. Now, I'd like to talk briefly about our Phase 1/2 trial for our CAB-CTLA-4 antibody BA3071. As a reminder, the Phase 1/2 trial is being conducted in tumors known to be responsive to CTLA-4 treatment, and we will evaluate safety and tolerability of BA3071 in monotherapy and in combination with nivolumab. The trial is progressing as planned. Last quarter, I shared that the DLT observation period was cleared for the fourth cohort at a dose of 210 mg or 3 mg/kg in combination with 3 mg/kg of nivolumab. No DLTs were reported. As part of today's update, we are treating patients in the fifth cohort at 350 mgs or 5 mg/kg as a monotherapy or in combination with 3 mg/kg of nivolumab and are on track for a Phase 1 data readout in the second half of this year. We also remain on track for the initiation of our BA3071 Phase 2 study to commence in the second half of this year. Finally, on to our potentially first-in-class dual CAB bispecific T cell engager antibody, CAB-EpCAM, CAB-CD3, or BA3182. In the first quarter, we received FDA clearance of our IND for the treatment of advanced adenocarcinoma. We anticipate first patient in for the Phase 1 study in the current quarter with the complete Phase 1 data readout anticipated next year. Similar to our other three clinical stage CAB product candidates, this antibody holds much promise in view of the in vivo preclinical studies demonstrating an over 100-fold improvement in the therapeutic index relative to the non-CAB variants due to the combined selectivity of the dual-CAB design. Several of the most common subtypes of adenocarcinoma that have tremendous unmet need that we can potentially address include colon, lung, breast, pancreas, and prostate. BioAtla also continues to progress several candidates through IND-enabling studies, including CAB bispecifics and next-generation ADC antibodies, and we still anticipate IND submissions for additional candidates potentially in 2023 and through 2024. With respect to important ongoing communications, the company has nine accepted recent and upcoming poster presentation since March, including at the ESMO Sarcoma and Rare Cancers Congress, the European Lung Cancer Congress, AACR, and ASCO, the latter of which will include an online publication of the abstract related to exposure response analysis of BA3011. Additional abstracts have been submitted for several upcoming meetings, and these will be updated as they are accepted. With that, I would now like to turn the call over to Rick to review the first quarter of 2023 financials. Rick?
Richard Waldron: Thank you, Jay. As of March 31, 2023, we had $192.7 million in cash and cash equivalents compared to $215.5 million as of December 31, 2022. We expect current cash and cash equivalents will be sufficient to fund planned operations, including all ongoing CAB product development programs into 2025. As a reminder, we control all CAB product market rights in the US, Europe and Japan. Our business strategy includes advancing commercial preparations in key global markets while exploring opportunities to extend our cash runway by generating upfront cash through the selective licensing of product rights in certain territories or collaborations with other biopharmaceutical companies that could also provide to us development milestones and royalties upon regulatory approval and commercialization and create additional value for stockholders. For the first quarter ended March 31, 2023, we reported a net loss of $27.5 million compared to a net loss of $24.3 million in the same period of 2022. Research and development expenses were $21.7 million for the first quarter ended March 31, 2023 compared to $16.9 million for the same period in 2022. The increase of $4.8 million was primarily driven by our preclinical and clinical product development efforts. We expect our R&D expenses to remain variable from quarter-to-quarter and generally increase as we continue to invest in R&D activities to advance our product candidates and our clinical programs. General and administrative expenses were $7.2 million for the first quarter ended March 31, 2023 compared to $7.4 million for the same period in 2022. The $0.2 million change was attributable to a decrease in various expenses for the 2023 period. We expect our G&A expenses to moderately increase to support development of our product candidates, advance our intellectual property portfolio, support focused pre-commercialization activities for our product candidate BA3011, and satisfy requirements as a public company. Net cash used in operating activities for the three months ended March 31, 2023, was $22.7 million compared to net cash used in operating activities of $25.1 million for the same period in 2022. The decrease in net cash used in operating activities for the first three months of 2023 is primarily due to an increase in accounts payable and accrued expenses in the 2023 period compared to a decrease in accounts payable in the same period in 2022. And now back to Jay.
Jay Short: Thank you, Rick. We are pleased with the progress we have made to-date and our cumulative results that continue to support both the preliminary efficacy and safety from our differentiated proprietary CAB platform. We are excited with the compelling clinical data that is emerging in treatment refractory UPS and non-small cell lung cancer and are eager to continue advancing the Phase 2 studies with the addition of the more frequent dose-intensive regimens and providing clinical updates anticipated in the second half of this year. We also remain encouraged by the continued execution of our other promising CAB assets and multiple cancer indications, and we are well poised to reach several value-creating milestones and key inflection points in the next several months. BioAtla remains confident about the future with the goal of pursuing indications of high unmet medical need that we feel will have significant impact for patients and our shareholders worldwide. With that, we will turn it back to the operator to take your questions.
Operator: Thank you sir. We will now be conducting a question-and-answer session. [Operator Instructions] And the first question comes from the line of Brian Cheng with JPMorgan. Please proceed with your question.
Brian Cheng: Good afternoon guys. Thanks for taking my question. A couple from me. Looking ahead into the data update in the second half of this year, it seems that you have multiple interim data across a number of programs in the second half. How should we think about the cadence of each of those data updates? And then I have a couple of follow-ups. Thank you.
Jay Short: Yes, this is Jay and thanks for your question, Brian. I think we'll expect to see the -- this is a best guess at this point, but I was expecting to see the ovarian readouts earlier than, let's say, the lung readouts would expect the AXL to be ahead of ROR2, and I think that -- those are some of the key ones. And then we'll, of course, be giving progress reports on -- general progress reports in terms of -- in the area of sarcoma in terms of UPS, leiomyosarcoma. And of course, CTLA-4 will also be somewhere in there as well. So, -- and there's kind of a couple of updates, right? One may be completing the Phase 1 like in CTLA-4 and then a follow-up a little later, saying kicking off the Phase 2 study. So, that's our intent. Same would happen with the AXL lung. Here's our data, hopefully tied in with a meeting or conference and then followed by kicking off the -- describing the FDA feedback and kicking off the Phase 2 portion of last part 2 Phase 2 portion of that. So, hopefully, that gives you a sense of it, Brian.
Brian Cheng: Great. That was helpful. And for your AXL program in non-small cell, what's your latest thoughts on the trial design for the potentially pivotal part Phase 2 part 2I? And I think to more extent, I guess, have you decided on whether to focus on non-squamous versus squamous, whether you value combo or single agents? And then the second part of that question is, is that if the part 1 data with the more frequent regimen looks better in the second half, will you have to revisit the trial protocol with the FDA?
Jay Short: So first off, I can just say that we're -- we've decided to focus on the non-squamous going forward, even though I think there's more to learn on the squamous side, but I think we're going to focus on the non-squamous. But I'm going to actually ask Philly to potentially answer this one now, Philly, the rest of the questions in this section.
Philippe Martin: Yes. Thank you, Jay. So in terms of the study design, I think, clearly, this will be the focus of the conversation with the FDA around the end of this quarter. We haven't landed -- based on their feedback, we'll decide which -- whether to go with a single arm or our primary endpoints or go with the readymade study against a comparator tolerable docetaxel and it might still be an ORR endpoint, but it could also be a PFS endpoint. So we'll make that decision post-meeting with FDA. Currently, we're focusing on the monotherapy, but we'll be getting more data for the combo later on in this year. So we'll be able to make a decision whether to go with combo as well, which will only focus on the monotherapy. And then with your last question about 3Q4W, should we -- would we have to be discussing it with FDA, no, that will not be required. The dose selection is let to the sponsor to decide which dose or doses to move forward with. So should we see a better benefit risk profile with the 3Q4W arm, which could just replace the Q2W level with the 3Q4W dosing regimen.
Brian Cheng: Okay. If I can squeeze one more in on CAB-CTLA-4, that would be great. How does the 350 dose that you're dosing now with the CAB-CTLA-4 correlate to the target engagement that you're seeing with the currently approved CTLA-4 agents that you're seeing out in the market space? Thank you.
Jay Short: Well, we've done a lot of work with ipilimumab, and so we do a lot of comparisons. So we believe that our antibody is most comparable to ipi when you start to think about these doses. Of course, there will be nuances and PK and so forth. But for the most part -- because they're different antibodies and a different sequence, but their origin was very similar in all of our comparison. So I think that's a nice general guideline with the caveat of some PK alignment at the end of the study.
Brian Cheng: Okay. Thanks for taking my question, today.
Jay Short: Yes.
Operator: And the next question comes from the line of Kelly Shi with Jefferies.
Unidentified Analyst: Hi, everyone. This is Dave from Jefferies. Kelly is traveling to Asia. So I'm here on behalf of her. Just one quick question for me. In last update in March, you mentioned there were six patients enrolled in LMS cohort. Just wondering how many new patients are added since then? And when do you expect to complete 10 to 15 patient enrollment? And any comment on pace of an --?
Jay Short: Yes. I don't think we -- I don't have an update on additional patients, but we believe it's readily going to be available in the second half and will be completed there. So there's no indication that we have that it won't be timely in terms of being able to report on that in the fall. But I don't know, Philly, if you have any other nuance on it.
Philippe Martin: No, we're on schedule, 10 to 15 patients in the second half, I think, based on the pace of enrollment, it might be more closer to 15% than 10%. But we're on target.
Unidentified Analyst: Okay. Thank you for taking my question.
Operator: And the next question comes from the line of Kaveri Pohlman with BTIG. Please proceed with your question.
Kaveri Pohlman: Yes. Good evening. Thanks for taking my questions. For non-small cell lung cancer, can you tell us what's the bar for durability here? What would be clinically meaningful to see in these late-line patients from the data you're collecting?
Jay Short: Yes. No, that's a good question. And Philippe, I think since we've discussed this before, you should grab that one.
Philippe Martin: Yes. I think what would be meaningful in patients that have failed, remember, the patients that will be dosing are patients that have failed not only PD-1 but they failed generally at first round of chemo and then docetaxel or gemcitabine after that. So they are highly refractory. Durability of response anywhere above four months would be positive. As we said before, we are targeting 6 months plus. And the latest data we had recorded led us to believe that we'll be able to achieve that.
Kaveri Pohlman: Got it. That's helpful. And I believe you just mentioned that you're moving forward with non-squamous. I was just wondering, I believe squamous type is treated with taxane based regimen in the first line. Does that make it less susceptible to respond to MMA in late line?
Philippe Martin: I don't think that's the case. I think it's just -- we're not moving with squamous because we were not able to move new squamous patients. So we don't know how this patient will respond at this point. So we'll need to generate that data before we start warning squamous patient or decide to go further with squamous patient.
Jay Short: Yes. There's just a lot more non-squamous patients coming into the study.
Kaveri Pohlman: Got it. And maybe one last one on the other sarcoma types that you have besides UPS and LMS. Do you plan to test more frequent regimen there just the way you're doing for UPS and LMS before you decide to move forward?
Jay Short: Well, I think we're going to wait on the LMS data because the strategies around that. Obviously, we're also want to drive UPS as it is, move that down the line, and we'll be doing -- I think we had mentioned this in our March -- end of March call that we'll be looking across -- I mean, we have an awful lot of indications, a lot of Phase 2 studies going on. So we'll be prioritizing at that time on which ones we will prioritize over others in the fall. And so -- but we do believe, ultimately, there will be several other sarcoma types to add. And a couple of them still getting data, LMS as well as some of the bone sarcomas, but others have already passed our criteria. But when we will actually load those other was, I think that's yet to be determined because we have some very large indications and great opportunities. I mean sarcomas also, but I think we have to balance which ones to go first, and we'll be looking at that carefully in the fall.
Kaveri Pohlman: That's helpful. Thank you.
Operator: [Operator Instructions] And the next question comes from the line of Reni Benjamin with JMP Securities. Please proceed with your questions.
Reni Benjamin: Thanks for taking the questions. Maybe just to start off, can you just take us through your latest thoughts on the liquid biopsy assay kind of its potential use across all the programs. I know right now, it appears to be confined to the word to, but is this something that could be further expanded? And as we think about this, how does this get, I guess, further fine-tuned and ready for commercialization as part of the development program?
Jay Short: Philippe or Eric, who just want to handle that one?
Philippe Martin: Yes, I'll start and then Eric wants to add more. So it's not confined to what we have developed a liquid biopsy for AXL non-small cell lung as well. And we are currently generating data. So every patient that we have only in the current study, we are testing them obviously for IHC because that's the intercriteria, but we're also testing them for the efficiency of the liquid biopsies. So we'll be able to correlate the IHC data to the CTC data once we enroll all the patients. But we have all the results from this first part of the study. So it's ongoing for ROR2 and AXL and we're just waiting to generate more data in melanoma because we had some difficulty in moving as we discussed before, we prioritize that and are now using this assay and we've been able to identify patients that were both positive within the CTC assays. So right now, in the future, our assumption is we're going with IHC, but should CTC continue to perform, we could switch to the liquid biopsy attachment.
Reni Benjamin : Got it. Okay. And I think you have several readouts coming out in the second half. You mentioned about 10 patients worth for the ovarian, 10 to 15 patients worth for LMS. Can you give us a sense just based on current enrollment trends, how many patients worth of data we might see from the anticipated readout for non-small lung? And anything else I might be missing that's not coming to the top of my head right now.
Jay Short : Yes, Philippe, as you'll go ahead on the AXL lung, you want to give an update on that one estimate?
Philippe Martin : Yes. So on lung, the target is to have approximately 20 patients Q2W, 20 patients combo with Q2W, and then 20 patients 3Q4W and 20 patients with a 2Q3W dosing regimen. So that's the target that we've set for ourselves. We've already involved the Q2W cohort. We are currently annulling the 3Q4 and the 2Q3W cohorts. So that's the -- that's our target for AXL non-small cell lung cater.
Jay Short : Yes. And whether we hit exactly 20 on the more frequent dose-intensive regimens? I think we'll get a good feeling where a few -- happen to be a few patients shy of that. But certainly, Philippe described what we're targeting.
Reni Benjamin : And that was for BA3011, if I'm thinking about it right? What about BA3021?
Jay Short : Yes. I think we're going to be behind that a little bit. But in terms of the more frequent dose intensity, but hopefully enough to give us a nice sense of things. And certainly, how we at the end of the year would like to go in with our discussions -- future discussions with the FDA with regard to BA3021. Philippe, do you want to add to that?
Philippe Martin : Yes. So our target is 20 Q2W monotherapy 20 Q2W combo and 20 3Q4W. These are the number of patients we're looking to have by the end of the year. Obviously, it is approximately, and so it might be shy or a couple of patients there or maybe above in some other cohorts, the 20 patients target, but the current target is going.
Reni Benjamin : Yes. Thanks guys.
Jay Short : And I would also add, depending when we read these out, with ROR2, it's more of an issue potentially than it is for AXL. To hit those -- the question is, if we're getting that data in December, we're just going to push that into early conference in January or do we try to give a sense at one of the upcoming meetings or also at our earnings for the third quarter. I mean all of those things have yet to be decided. It's just a little early in the year to have that kind of precision. So please, keep that in mind.
Reni Benjamin : Got it. Thank you very much.
Operator: And the next question comes from the line of Arthur He with H.C. Wainwright. Please proceed with your question.
Arthur He: Hi. Good afternoon, Jay and Rick. This is Arthur from H.C. Wainwright. And thanks for taking my question. So I just wanted to follow-up on the BA3011 and BA3021 the data updating lung cancer. So when you look at those data, besides the safety and the presumably ORR, what other criteria you're looking to for you to make the decision choose the optimal dosing for the pivotal study potentially?
Jay Short : Well, I think, ultimately, you've got to have a duration of response, and we already -- and Philippe already mentioned what we're targeting there six months or greater. And I think that's something that we care about, and we'll be looking at. And I think that's the other key feature. Obviously, I think in these PD-1 failure groups and especially -- actually we got 35% of the patients are positive, we really could open up some efficacy for patients that really don't have any other choices. Even potentially with some of the new therapies that could be coming -- arriving in 2024, we think we're still in a very strong position to there with what we are looking for and what we've seen -- been encouraged with the data that we have already obtained to date.
Arthur He: Okay. Great. Thanks for that. And for the BA3071 program, when we're looking for the data from the initial dose escalation part. So how could we get the idea about for the RP2D for both monotherapy and the combo when we see the data? And another question is for the expansion study, are you planning to go straight for the combo study? Or are you going to including mono and combo together?
Jay Short : Yes. Philippe, go ahead.
Philippe Martin : Yes. So yes, I mean, our focus is mostly combination, okay, because that's how ipilimumab has been used or is generally used in combination with the PD-1. So that's our primary focus. That being said, we are looking at monotherapy data as well. In terms of dose selection, we are looking at efficacy and safety in the patients that we've treated, but we'll also be looking at certain markers or efficacy that -- as well as the PK characteristics at the dose we're looking at. So it's another assessment of the data that will lead us to choose one or two doses to go forward. We reserve the right, again, to go with mono and combo, but our primary focus will be combo for the expansion of data.
Arthur He: Got you. Thanks Philippe. And my last question is on the ovarian cancer study. Could you remind us the inclusion and the exclusion criteria for that study? And if you see a good data from the more intensive dosing regimen for the -- from the -- either the lung cancer and sarcoma. Is there a way to do the dose optimization as well for the ovarian cancer study? Thanks.
Philippe Martin : Yes. So these are platinum failure patients, and it's in combination with PD-1 inhibitor. We see that the dose -- the more intensive dosing regimen is well tolerated and generate more efficacy and the indication we're looking at currently, we'll be translating that to the other indications as well. So in the case of ovarian, we would be able to move forward with the study that would most likely be a registration study with the higher dosing regimen. We may decide to take two doses forward, but we wouldn't have a problem taking forward the more intensive dosing regimen.
Arthur He: Okay. Thanks. Thanks for taking my question and congrats on the progress this quarter.
Philippe Martin : Thank you.
Jay Short : Thank you.
Operator: And at this time, there are no further questions. Now, I'd like to turn the floor back over to Jay for any closing comments.
Jay Short : Well, I want to thank everyone for their time and attention today, and we're really looking forward to a lot of readouts coming up in the next couple of quarters. So thank you.
Operator: And thank you, everyone. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.